Operator: Thank you for standing by, and welcome to nCino's Third Quarter Fiscal Year 2024 Financial Results Conference Call. At this time, all participants are in a listen-only mode. After the speakers’ presentation, there will be a question-and-answer session. [Operator Instructions] Please be advised that today's call is being recorded. I would now like to turn the call over to your host, Mr. Harrison Master, Investor Relations. Please go ahead.
Harrison Masters: Good afternoon and welcome to nCino's third quarter fiscal 2024 earnings call. With me on today's call are Pierre Naude, nCino's Chairman and Chief Executive Officer; Gregory Orenstein, Chief Financial Officer; and Josh Glover, President and Chief Revenue Officer. During the course of this conference call, we will make forward-looking statements regarding trends, strategies and the anticipated performance of our business. These forward-looking statements are based on management's current views and expectations, entail certain assumptions made as of today's date and are subject to various risks and uncertainties described in our SEC filings and other publicly available documents, the financial services industry and global economic conditions. nCino disclaims any obligation to update or revise any forward-looking statements. Further, on today's call, we will also discuss certain non-GAAP metrics that we believe aid in the understanding of our financial results. A reconciliation to comparable GAAP metrics can be found in today's earnings release, which is available on our website and as an exhibit to the Form 8-K furnished with the SEC just before this call as well as the earnings presentation on our Investor Relations website at investor.incno.com. With that, I will now turn the call over to Pierre.
Pierre Naude: Thank you, Harrison, and thank you for joining us this afternoon to review our third quarter fiscal 2024 performance. We had another solid quarter despite the continued unsettled macroeconomic environment. We exceeded the high end of our revenue guidance with subscription revenues of $104.8 million, up 19% year-over-year, and total revenues of $121.9 million, up 16% year-over-year. Once again, we significantly increased profitability, posting a 17% non-GAAP operating income margin even as we continue to invest in the business, specifically in product innovation. Our positive view of the quarter reflects a number of significant product wins across the platform. In particular, we are very excited to announce signing our first consumer lending deal with an enterprise bank in the United States, an over $200 billion institution. Over the past several quarters, we have been highlighting the progress we have made maturing our consumer lending product, and we view landing this customer for consumer lending as another validation of that momentum as well as of our overall single platform product strategy. We also continued to strike in our U.S. mortgage business. Our financial results reflect double-digit U.S. mortgage revenue growth. Even despite lower volumes of originations and an uptick in IMB churn, driven by generationally high mortgage rates. These results demonstrate the benefit of cross-selling into our installed base of banks and credit unions, the differentiation of our mortgage technology, and we believe the durability of our business model. A pivotal win for our U.S. mortgage business in the quarter came with our first cross-sell to a regional bank in the U.S. that has been using nCino for both consumer and commercial lending. Our market-leading mortgage technology further enhances our ability to grow wallet share in an account once a customer experiences the value of our technology. These wins are the result of having our products available on a single integrated platform, and we are excited to deliver an enhanced omnichannel experience for consumer lending in the spring, further leveraging the technology we acquired in the SimpleNexus transaction. As our first generally available point-of-sale journey beyond mortgage, this offering will empower our consumer lending customers to deliver the exceptional point-of-sale experience we offer for mortgage across a broad spectrum of consumer lending products. We expect this offering to further accelerate sales for both our consumer and mortgage lending solutions. As we continue to innovate and expand the capabilities of the platform, I'm also excited by the AI capabilities being introduced through banking adviser, which leverages our data expertise. Over the past four years, we have been working with our customers to create a large differentiated pool of commercial and consumer banking data, including mortgage data. Today, we are well positioned to provide valuable and actionable insights from data aggregated across our customer base and integrated into our single platform. Access to this data is a powerful enabler and our deep domain expertise is informing our AI strategy. The industry has taken notice of this expertise as evidenced by the over 1,200 people who registered for our initial AI webinar in September. When available early next year, banking adviser will help usher in the next wave of intelligent automation, delivered on a single platform for originating any loan product and opening any account type at critical decision points. Turning to our international business. In Q3, we added our largest customer to date in Japan by signing Yamaguchi Financial Group, YMFG, which occupies a top spot in the sizable regional Japanese banking market, saw an opportunity with nCino to improve the efficiency of their processes and the user experience they offer to their customers through digital transformation, beginning with their mortgage business. We are excited about the large opportunities we see in the Japanese market and are pleased to see our investments over the past few years there bearing fruit. Despite this list of Q3 accomplishments, the selling environment does remain challenged in certain parts of our business. Enterprise banks, in particular, continue to be slower signing deals. And unlike the second quarter, we did see a few deals get pushed out of the third quarter as these customers further evaluate their budgets and the potential impact of an evolving interest rate environment on their business. Over the past few weeks, I have traveled to see customers and prospects across North America and Europe. I've come away from these conversations incredibly energized about our opportunity as their needs align so closely with the value proposition of nCino's single platform and product strategy. We built this company and continue to innovate our technology. So the world's best financial institutions can more efficiently run their operations on a single platform. In this environment, risk reduction and cost savings are paramount, and nCino was proving efficiency and greater security while leveraging data to provide unique insights into our customers' businesses. As the backhoe environment settles down, the institutions leveraging and senior will be better positioned for market share gains, profitability, success and longevity. Our sales pipeline, which remains healthy, reinforces we are on the right path, notwithstanding some lumpiness we have seen this year with enterprise sales opportunities. We are excited to close the year with a strong Q4, positioning nCino for further growth next year and beyond. Now let me turn the call over to Josh to provide additional details on some of the operational highlights of Q3.
Josh Glover: Thank you, Pierre. We are pleased with our third quarter results and the continued momentum we see in the business. On the sales front, we signed key strategic wins across market segments, geographies and solutions. We added our largest customer to date for consumer lending in this last quarter, signing a $200 billion bank in the United States. This new customer will leverage nCino across all of their consumer lines of business with both in branch and digital workflows to modernize their go-to-market approach. We're extremely proud of the work our product teams have done to enable a best-of-breed consumer lending solution for even the largest banks in the U.S. Also in the quarter, we signed an expansion agreement with an existing regional bank customer for mortgage point of sale, bringing mortgage point of sale, consumer and commercial lending all into a single platform for this over $35 billion bank. This is an exciting proof point for the scalability of our mortgage technology, having passed a rigorous selection process with one of our most sophisticated customers. We expect to deliver exceptional time to value with a quick go live in the fourth quarter. Our thesis that a mortgage point-of-sale offering would resonate in our legacy bank customer base is proving out, with half of the eight new mortgage logos signed in the third quarter belonging to financial institutions. Our mortgage customer base is now 46% financial institutions on a logo basis versus 25% at the time of the acquisition of SimpleNexus. And our mortgage pipeline on a dollar basis is now comprised 60% of financial institutions. As interest rate pressures continue to drive consolidation of the long tail of IMBs in the industry, we are working with existing customers to see them through this downturn but we are aggressively cross-selling into the underpenetrated banking and credit union markets. We continue to see our competitive differentiation of mortgage proven out by the market with two additional competitive takeaways this quarter. We continue seeing success with multi-solution net new deals in the quarter, including a $6 billion bank that selected nCino for commercial lending, portfolio analytics and auto spreading and a community bank that picked nCino for commercial and consumer lending as well as auto spreading. A more streamlined and efficient tech stack is resonating even in the current environment, as banks see vendor consolidation as a way to gain critical efficiencies across their operations. Our pipeline for solutions beyond commercial lending continues to develop, making up half of the total pipeline as of quarter end. Risk management is another key value proposition of our solutions that drove new business in the third quarter. We signed our largest portfolio analytics bank deal to date for commercial real estate stress testing, trend analysis and concentrated risk reporting. We also signed our largest ever portfolio analytics credit union deal this quarter for CECL. Turning to international markets. As Pierre noted, in Japan, our team signed a record deal with Yamaguchi Financial Group, a $150 billion asset bank, making this our largest customer to date in Japan. This opportunity is for a mortgage use case by which prospective homebuyers can apply entirely online, 24 hours a day, replacing a traditional paper process. Jointly, we see a clear expansion path across both corporate and consumer lines of business to help YMFG realize a goal of originating all loan products from a single platform. We are pleased with the receptivity we're seeing in the Japanese market, a SAM opportunity, we size at $1.4 billion. This win represents another critical lighthouse account and is still relatively new and still underpenetrated market for nCino. Lastly, we completed a year seven-figure ACV expansion deal with an existing UKI customer that first signed in fiscal 2019. This opportunity was for corporate and institutional banking, small and medium enterprise banking, commercial pricing and profitability, ESG and end-to-end mortgage origination. While embracing these newer offerings, this bank also extended their commitment with nCino for another five years. Our broad and diverse customer base continues to be an asset, particularly in a complex macro environment. Approximately 60% of our gross ACV bookings in the quarter came from existing customers. With 50% of platform customers now using more than one product and 25% year-over-year growth in NIC adoption by platform customers, I cannot overstate the strategic long-term value of our customer relationships. Looking to the fourth quarter, we remain confident in our ability to execute and are well positioned with ample pipeline coverage for a seasonally high fourth quarter sales performance. Greg, can you take us through the financials?
Gregory Orenstein: Thank you, Josh, and thanks, everyone, for joining us this afternoon to review our third quarter fiscal '24 financial results. Please note that all numbers referenced in my remarks are on a non-GAAP basis, unless otherwise stated. A reconciliation to comparable GAAP metrics can be found in today's earnings release which is available on our website and as an exhibit to the Form 8-K furnished with the SEC just before this call. To echo Pierre and Josh, I am pleased with our third quarter financial results. Total revenues for the third quarter of fiscal '24 were $121.9 million, an increase of 16% year-over-year. Subscription revenues for the third quarter were $104.8 million, an increase of 19% year-over-year, representing 86% of total revenues. Professional services revenues were $17.2 million in the quarter, growing 1% year-over-year. Professional services revenue growth was impacted by pressure on bill rates even as utilization from a billable hours perspective improved year-over-year. As I noted during my Investor Day comments, we will continue to focus on leveraging our extensive SI ecosystem to provide professional services to our customers and prioritize subscription over professional services revenues. Non-U.S. revenues were $23.4 million or 19% of total revenues in the third quarter, up 48% year-over-year. Subscription revenues growth outside the United States outpaced respective total revenues growth with particular strength coming from our Australia and New Zealand operations. Non-GAAP gross profit for the third quarter of fiscal '24 was $81.1 million, an increase of 18% year-over-year. Non-GAAP gross margin was 67% and compared to 65% in the third quarter of fiscal '23. The gross margin improvement was due to efficiencies realized in our customer support organization while maintaining customer satisfaction ratings of 3.9 or about 98% with 5x the respondents documented versus the year ago quarter. Non-GAAP operating income for the third quarter of fiscal '24 was $20.4 million compared with $2.5 million in the third quarter of fiscal '23. Our non-GAAP operating margin for the third quarter was 17% compared with 2% in the third quarter of fiscal '23. This impressive bottom line performance reflects continued operational discipline and leverage from our business model. Our non-GAAP results this quarter also include approximately $2.8 million of accrual reversals for tax equalization within sales and marketing and for certain employee benefits across the organization. Non-GAAP net income attributable to nCino for the third quarter of fiscal '24 was $16.2 million or $0.14 per diluted share compared to negative $1.4 million or negative $0.01 per basic and diluted share in the third quarter of fiscal '23. As I noted during our Investor Day, during the third quarter, we rebranded the SimpleNexus solution to nCino Mortgage, resulting in a change to the trade name useful life. As a result, we recorded accelerated amortization to fully amortize the remaining trade name intangible asset. The effect of this change in estimate for the third quarter was an increase in sales and marketing, amortization expense of $10.1 million or $0.09 per basic and diluted share. The impact of this accelerated amortization expense has been excluded from our non-GAAP results. We ended the quarter with cash and cash equivalents of $105.8 million, including restricted cash. Net cash provided by operating activities was $5.9 million compared to negative $4.1 million in the third quarter of fiscal '23. Capital expenditures were approximately $600,000 in the quarter, resulting in free cash flow of $5.3 million for the third quarter of fiscal '24. You will note incremental spend on the investments line of our balance sheet and statement of cash flows and related disclosures this quarter for a $2.5 million investment in Rich Data Co, an Australia-based leading AI decisioning platform that helps banks make high-quality lending decisions efficiently and safely. We announced a partnership and reseller arrangement with RDC in February of this year and are proud to cement our relationship with this investment to enable even tighter collaboration between our two organizations. Our remaining performance obligation, or RPO, was $917.1 million as of October 31, 2023, and -- compared with $919.2 million as of October 31, 2022, with $627.6 million in the less than 24 months category up 4% from $603.9 million as of October 31, 2022. As you heard from Pierre and Josh, we saw a great validation of our solutions across market segments, products and geographies in the third quarter. Gross bookings in the third quarter were lower than in the second quarter, but we continue to expect gross bookings in the second half of the year to be better in the first half of the year as previously communicated. We did see elevated churn in the third quarter from IMBs in our U.S. mortgage business of approximately $5 million of annualized subscription revenues as some IMB struggled with mortgage rates peaking in October to their highest level in over 20 years. This level of churn exceeded our internal churn forecast by about $2.5 million. Fortunately, despite the rate pressure, we are seeing the top performing originators earn a positive production profit as reported in the latest MBA quarterly mortgage bankers performance report. The mortgage industry has come a long way towards rightsizing for current volumes and with our U.S. mortgage business continuing to take market share and grow revenues despite the interest rate pressure and elevated churn, we believe this business is very well positioned for healthy top line growth for years to come. Churn and down sell for the rest of the business were in line with expectations in the third quarter. But in light of the elevated IMB churn, we are adjusting our churn rate expectation for the full year to about 9% of prior year subscription revenues, up from 6%. Although the outlook for our fourth quarter revenues has been tempered by this heightened churn, we are increasing both the low and high end of our outlook for full year subscription revenues guidance. Please note that this heightened churn rate of 9% also includes the impact of our relationship with one of the three customers that was acquired during the liquidity crisis, ending about nine months before the expiration of their contract which was scheduled to be in May of 2024. This event had a negative impact on deferred revenue of approximately $900,000. Positively, we expect to maintain the other two customers that were acquired and, in fact, have already expanded our relationship into one of the acquiring banks. Turning to guidance. For the fourth quarter, we expect total revenues of $123.5 million to $125.5 million, with subscription revenues of $105.5 million to $107.5 million. This guidance assumes year-over-year subscription revenues growth of 15% at the midpoint of our range. Non-GAAP operating income is expected to be approximately $15 million to $16 million and non-GAAP loss attributable to nCino per share to be between $0.11 to $0.13 for the fourth quarter. This is based upon a weighted average of approximately 115.5 million diluted shares outstanding. For the full fiscal year '24, we expect total revenues of $476.5 million to $478.5 million, with subscription revenues of $407.5 million to $409.5 million. This full year guidance assumes year-over-year subscription revenues growth of 18% at the midpoint of our range. We are again increasing the range of our full year non-GAAP operating income guidance to $57.5 million to $58.5 million. Non-GAAP net income attributable to nCino per share is expected to be between $0.40 to $0.42 based upon a weighted average of approximately 115 million diluted shares outstanding. With that, we'll open the line up for questions.
Operator: [Operator Instructions] Our first question comes from the line of Adam Hotchkiss of Goldman Sachs. Your line is open.
Adam Hotchkiss: I guess to start, it would be great to get a little bit more color on how customers outside of the independent mortgage banks are responding to the evolving rate environment, in particular, some of the recent movement in rate expectations for next year. Just wondering if you're seeing any initial changes as to how decision-makers are thinking about product prioritization or budgets? And then your comment on incremental scrutiny at the enterprise level, whether that's relation in relation to Q4 or if that's something you think reflects early indications of '24 budgets as well?
Pierre Naude: Yes. Thanks for your question. What we're seeing in the market is that everybody is preparing the moment the rates stabilize to actually come more aggressive to the market and to solutions like ours. We see it in our pipeline. We see it in conversations with the banks. The tentative nature of the buying persona we're seeing today is still because of the uncertainty of the rate environment. And as soon as they see stability in that the banks realized the need for moving forward the transformation projects to actually be competitive. In the short run, we're still seeing that lumpiness in the market. In the enterprise, we're beginning to see some stabilization as that retail deal will show you. We're seeing some great stuff in the pipeline around movement in that market. But again, that final decision-making is a bit slower than what we would like to see. People it's a bit more tentative -- on the other hand, the pipeline is healthy and we feel very good about it.
Adam Hotchkiss: That's great. Really helpful. And then, Greg, wondering if you could just comment a bit more on the leverage this quarter, it looked like it was both in sales and marketing and R&D in particular. Just wondering where you're seeing the lowest hanging fruit and what you're looking for in terms of investment discipline for '24.
Gregory Orenstein: Yes. Thanks, Adam. Again, as I noted, the team continues to execute well as an organization and really has embraced the shift from just pure growth in prior years to profitable growth. And so we have seen nice leverage across all of our OpEx lines. And we'll continue to focus on that. As we think about next year and again, consistently, we say and we want to reinforce this, that we'll continue to prioritize growth. And as we see opportunities for growth, we're going to make sure our investments are aligned to capture those. Again, we still think it's in the early days of a very large market opportunity for us. We think we've got a unique leadership position, and we want to make sure that we continue to invest in that leadership position, again, across the entire platform. And again, Pierre referenced, and Josh referenced in their comments that consumer lending deal, again, another validation of our platform and ultimately, what our software can do for banks on a global basis.
Operator: Our next question comes from the line of Saket Kalia of Barclays. Your line is open.
Saket Kalia: Okay. Great. Pierre, Josh, maybe this question is for you. First of all, congrats on the consumer lending enterprise when $200 billion is certainly a very big bank. Maybe the question is, could you folks just maybe speak to who nCino is typically replacing in these consumer lending deals? And what do you think is sort of the catalyst for these banks to be considering a replacement at this juncture? Does that make sense?
Josh Glover: Sure, Saket. I can take that. Yes, that's a bank that's grown a lot. When a bank grows like that, and they realize they want to continue serving the consumer segment at scale, they pull back and make sure they have architectures that will continue to scale with them. A big piece of focus here was pushing more to the digital channel. If you're working with the legacy system as this institution was, it's pretty hard to run an efficient operation if you have an in-house legacy system that's dated, that's inflexible that can evolve with your business. It's hard to add products. It's hard to change business rules. Then you throw a digital channel on top of that. It just won't keep up with the size of that -- with the bank of that size. So for that $200 billion bank, they realized they needed to replace probably three or four systems along the way with the nCino project they'll get an in-branch and digital channel that will be a lot more efficient, allow them to serve that customer base and the way customers expect to be served today. So efficiency is a driver there. Better consolidation is a driver there. They're going to be very well positioned on the other side of a quick project as the economy recovers to compete.
Pierre Naude: I would add, Saket. I think what you'll notice is below the top four banks, the deposit flow towards the big four was an issue through the liquidity crisis. And every bank we talk to as a new renewed focus on the consumer to drive deposits because you average deposit balance of a consumer is much lower. They don't move it for interest rate fluctuations. So what you'll find is there will be a focus on consumers in the future to have a stable and a much broader diversified deposit base going forward. And I think you'll see this across the whole banking sector that they have to reverse that trend of deposit flow to the big four.
Saket Kalia: Yes. That's super interesting. Greg, maybe for you for my follow-up. I'll preface by saying I know we don't manage the business to RPO. Just since there are so many different drivers in that metric, whether it's duration or mix and others, right, that you can educate us on. But can you just maybe -- just to make sure the question is asked. Can you just speak to some of those moving parts? And how you think about that sequential change in RPO that we saw this quarter?
Gregory Orenstein: Yes. Saket, thanks for noting that we don't manage the business to RPO. We appreciate that. And we've tried to go out of our way to make sure folks understand that. When you think about the different moving parts, you mentioned duration being one. Obviously, with the churn that we noted, that's an impact to RPO as well. Pierre mentioned some of the lumpiness in enterprise, particularly when you think about the over 24-month number. As you know, those contracts with the larger customers are generally longer than the two years the 24 months that we given this to RPO and so that's where you see some of the lumpiness that we've been experiencing throughout the year in light of the macro environment. And then the other thing I'd probably note is just in terms of -- Josh mentioned in his comments, approximately 60% of our gross ACV bookings in the quarter came from existing customers A lot of that is going to be add-on business. Generally, we will align the add-on business to co-term with the agreement that's in place. And so those would generally be in that shorter duration bucket as well. And so those would kind of be some of the moving parts. On the other side, things that we've talked about recently in terms, for example, of how we're structuring our mortgage contracts, right, to take into account some of the growth that we expect as that market stabilizes and ultimately grows again, that's not captured in RPO either as we think about upside opportunities outside of that specific metric. So those are the things that I would kind of highlight to you.
Operator: Our next question comes from the line of Terry Tillman of Truist Securities. Your line is open.
Terry Tillman: Pierre, Greg and Harrison. I guess the first question, and I don't know if this is -- and Josh -- sorry, Josh, I almost forgot you. I don't know if this is for Pierre or Josh. But on the retail or consumer lending side, it does seem like a really important lighthouse win. What I'm curious about is I'm not trying to put you on the spot, 4Q is a seasonally stronger bookings quarter, hopefully. But could we see rapidity here in more large wins in the offing in the near term? Or do you need to kind of get them up and running and they become this kind of referenceable customer. And then from there, we can start knocking them down like Domino's in terms of other large enterprise retail or consumer lending wins? And then I had a follow-up.
Josh Glover: Terry, Josh. Look, the goal is to go as quickly as we can to sign a $200 billion bank for our consumer lending solution obviously if you have to go through pretty detailed and long evaluation process. That's a fantastic proof point. So if you look at the other announcements we've put out even in this call, multiple community regional financial institutions picking us for both commercial -- small business and consumer. That's a great proof point that we'll try to take to the market. And frankly, for a $200 billion bank to pull the trigger on a consumer lending deal in this environment. It shows a lot of conviction. It's a great validation point. So we're excited. So to answer your question directly, we're going to go as quickly as we can. because ultimately, the scrutiny that we've stood up to shows that we can scale up.
Terry Tillman: Got it. And I guess the follow-up question is, -- you all recently hosted a great Analyst Day in terms of a lot of content, a lot of helpful content. One of the things I think we picked up from you all was the idea that ending 2Q, the ending ACV balance is up 14% year-over-year, I know we have a little bit of a kind of a moving part here in terms of some of the IMB churn. But do you still feel like there's -- that's kind of the floor or is the floor a bit higher? Is there anything you can share about kind of the risk as we move into calendar 2024 in subscription revenue kind of what's the low watermark?
Gregory Orenstein: Yes. Terry, I think we're going to, again, hold back on -- on addressing next year. We did give you some commentary around bookings this quarter versus last quarter as well as some commentary around how we're looking at the second half of the year versus the first half of the year. So I think at this point, we'll probably leave it there. Again, noting that, that was, as we said at the Investor Day, kind of a data point in a point in time. And I think that's something that we would really look to revisit more on an annual basis versus on a quarterly basis. But hopefully, those data points in terms of the second half of the year over first are helpful to -- and the commentary around the ample pipeline coverage that we have are helpful in terms of how we're thinking about Q4 and ultimately ending the year strong.
Terry Tillman: Yes. But Greg, just one quick follow-up on that. 4Q, you signed business. Some of this can be shorter dated activation schedules though, correct? So some of the products, if you do have a strong finish, some of that could meaningfully show up in calendar '24. Is that accurate? At least in the second half/
Gregory Orenstein: That is accurate. Yes. And again, as we talked about at Investor Day, we're seeing with the mix of business with some of the pricing evolution that we've addressed, we're seeing a quicker turn from signing to revenue. It's upwards of 28%, 30% in the first half of the year and compare that to the prior year, I think it was around 16%. And so we expect that trend to continue and so again, we'll be getting, as we go forward, more in-quarter or in-year revenue from deals that we signed in quarter and in year than we have in the past.
Operator: Our next question comes from the line of Bob Napoli of William Blair. Your line is open.
Adib Choudhury: Adib Choudhury on for Bob. So first question, just in terms of the significant Japan, could you kind of talk about how critical system integrators were, if at all? Now and more broadly, are you seeing kind of peers using a similar SI strategy in some of your core international cloud banking market?
Josh Glover: Absolutely. This is Josh. The system integrators are part of that play. They have local presidents to understand the culture. We're taking some of these institutions literally from paper straight into the cloud. So having the local team change management expertise and scalabilities of those SIs particularly as we expand internationally, really helps. And we're pleased not just about the initial proof point, but also about the way these banks are thinking about the single platform where you have banks that are starting with mortgage, some are starting with commercial, but they're all doing it from the lens that they want to get the whole institution up on nCino.
Adib Choudhury: Got it. And I guess one for Greg. Thinking about the long-term operating margin targets you guys laid out during the Investor Day, 35%, and that compares to the 12 or so implied from the current fiscal full year guide. As we think about annual margin expansion cadence? Should that kind of be evenly attributed or more front and back-end loaded? And what's the visibility you kind of have around that expansion?
Gregory Orenstein: Yes. We'll hold off giving any guidance beyond this year. Again, as we look at the target, I set out a time frame of four to six years. And I think it all depends on the opportunities that we see ultimately the market. But again, we're going to err on the side of growth. And to the extent that, that margin target is a little bit lower because our growth is higher as we march towards that rule of 50, we'd be very happy with that. So again, I think we'll update you as we move along in terms of progress that we're making, but we continue to see opportunities for leverage across the organization. Again, you see in the progress that we've made on our margin lines as well as on our OpEx lines. And I said earlier, the team has done a great job, the organization has done a great job embracing the environment that we've been operating in.
Operator: Our next question comes from the line of Adam Bergere of Bank of America. Your line is open.
Adam Bergere: Can you give some color on the deals that pushed? Is there any sort of commonality between those deals or thinking more in depth on them. Is there any way in which you could quantify to mentalize how much that may have impacted Q3 results? And lastly, how are those deals tracking now that you're roughly a month into Q4?
Josh Glover: Absolutely, those are not deals that dropped out of the pipeline. Ultimately, sometimes they may have wanted to get another board look at that. Sometimes they may want to see how the year continued on. They are in this interest rate environment, continued to keep a keen eye on their credit quality. They're also thinking about their P&L as they deal with this margin compression. So we do not see a lack of conviction on the need for transformation. We do see more measured investment as they think about new lines of investment for the institution.
Pierre Naude: Yes. I think it's more a case of timing versus need. Also, we've not lost any of those deals to competitors. This is more a matter of let's revisit in the budget cycle for banks and as soon as those are solidified, we'll move forward. And we see that in our pipeline movements as well. So we're very optimistic that we're going to see some of those coming through.
Adam Bergere: Got it. And as a quick follow-up, have you sort of embedded that new assumption of, I don't know, these are taking a little longer than expected into the Q4 guide?
Pierre Naude: Yes. Our Q4 guide is assuming that it's -- we understand now very well the churn expectations in the market, both on IMBs. So we've taken a conservative view, and we built that into the guidance that we provided.
Operator: Our next question comes from the line of Alex Sklar of Raymond James. Your line is open.
Alex Sklar: Great Greg, outside of the $2 million accrual that you called out that it sales and marketing this quarter. Was there anything else onetime impacting operating income this quarter? And then kind of unrelated to your answer about preferring growth, a couple of the earlier questions, Can you just talk about what's being factored from a hiring or an investment perspective in fourth quarter relative to third quarter driving kind of the sequential margin decline?
Gregory Orenstein: Yes. So from it was $2.8 million. That was really the onetime thing. The other thing I'd note is in the second quarter, we had our insight, our annual user conference. And so that's a heavier spend. So as you look at it on a sequential basis, I would note that as well. When you look at fourth quarter, it's the guide that we provided ultimately taking into account, obviously, holidays seasonality that we sometimes see in the fourth quarter. So I think that's what is impacting the guide if you deduct the onetime that I noted from the total and you look at the guide that we gave, I know there's a small little delta there, but that's really what it comes down to.
Alex Sklar: Okay. Perfect. So no major incremental hiring kind of in the year-end above and bound kind of normal operating?
Gregory Orenstein: No. I think for us, it's business as usual. As we look into the fourth quarter, a big focus on obviously, closing business, as Josh noted, in echoing Pierre's comments, we have -- we see ample coverage from a sales pipeline perspective, and so we're just focused on execution between now and the end of the fiscal year.
Alex Sklar: Okay. Great color. And Josh, just one for you. It seems like good NIC sales again I heard that 25% growth in adoption. I think you flagged though, recently that you're seeing higher NIC deal sizes as well. So any way you can kind of frame the revenue growth from NIC, is it meaningfully above that 25% figure?
Josh Glover: Yes. And the stat that we quoted was we see 25% year-over-year growth in NIC adoption on the platform. That brings us to 34% of platform customers who've adopted NIC to date. Also in the quarter, we had for portfolio analytics, one of our great NIC solutions, the biggest deal we've ever done with the bank and the biggest deal we've ever done with the credit union. So we're pleased with that momentum. Greg, do you want to speak about how that flows through revenue?
Gregory Orenstein: Yes. I mean, ultimately, again, as we talk about with our NIC solutions that turns quicker into revenue. And so we see that more quickly impacting our P&L, that's exciting as we look at the mix of business and again, the evolution of our pricing model.
Operator: [Operator Instructions] Our next question comes from James Faucette of Morgan Stanley. Your line is open.
James Faucette: Great. I want to dig in quickly. And I think, Pierre, in the past, you've alluded to some inertia in the sales cycle. Is that kind of what you're seeing right now? And is that consistent? Or is that what you're also talking about when you say that you've got customers that are kind of waiting for the interest rate environment to stabilize before kind of moving ahead and making decisions?
Pierre Naude: Yes. Look, we've got banks where profitability is down as much as 40% year-over-year, as announced by public institutions. And so you can imagine when you have that kind of environment, but they're all looking for a stability of the future. And right now, they still there's massive debate, is the Fed going to raise rates once more, is it going to start cutting, et cetera. And these have impacts both on the psychology as well as the actual results of banking. And so what we are seeing is people are cautiously becoming optimistic, but waiting to see that this stabilized environment is setting in. I don't think they necessarily wait for the rates to start coming down. I think bankers in general, believe it will more stabilize the certain point. And the moment that stabilization is set in place. They are ready to make investments. And you're just seeing that level of uncertainty and the moment that's over according to our pipelines and our conversations with banks, they have to do this. This is where they have to go. This is the kind of platform they need for IT simplification, modernization. This is what the consumer wants. They needed for the deposit gathering. They need it for efficiency, they need it is for compliance. So, they all know that and we meet with them on a frequent basis. And I was just in Europe where one customer said to me, look, man, the project is a bit more difficult than we expected. But what else do you do which, of course, is music to my ears. So I feel very optimistic that we're in a good strategic place. Our platform is maturing at the right time. And is -- this phenomenal noncommercial wins are willing to show is that this whole architecture and effort we put in is going to pay off.
James Faucette: Got it. Got it. Got it. And then, Greg, I know you kind of have touched on this in a couple of different ways, but I just want to try to make sure that we understand in terms of the change in churn, if churn has remained stable at your previous assumption? How much of an impact -- or how would you have been changing your fourth quarter guide at all? I'm just trying to make sure that we understand the level of churn impact versus other factors?
Gregory Orenstein: It was a big part. I mean, you saw we rolled some of our over performance in Q3 into Q4 in terms of upping our guidance but ultimately not the whole thing. And so that certainly was an impact. And the engines what we really saw was just October. I mean interest rates were specifically mortgage rates peaked and ultimately, just some of the IMBs,I think just said enough was enough. As we looked at the first month of this quarter, so far, things are more in line with what we expect. And obviously, this is something we've been tracking for the last year plus. The team has done a really good job of tracking the churn. I do think it was somewhat just a unique set of circumstances in October with that spike that really increased the churn level from really what our expectations were.
Operator: Our next question comes from the line of Nick Altmann of Scotiabank. Your line is open.
Nick Altmann: Awesome. It sounds like there's a lot of excitement around banking advisers. So I wanted to ask a couple of questions there. I guess just the first one being, what is the initial customer feedback then from those who are beta testing it, is there any sort of update on the monetization strategy there? And then just as a follow-up, is the best way to think about the opportunity with banking adviser really around the installed base with nCino IQ? And should that really kind of foster more cross-sell activity into NIC? Or should we kind of think about those as mutually exclusive?
Josh Glover: This is Josh. We've been pleased but not surprised by the customer excitement about this. We've done, I think, a really good job of meeting our customers where they are. The problems they are really asking us to help them solve today is helping with efficiency and also helping with employee effectiveness and employee engagement. So if you think about the initial use cases where we'll have the ability for banking adviser to offer a knowledge base where a banker rather than navigating a 300-page PDF of a credit memo, they can have that at their fingertips where they can have intelligent credit memo narratives where rather than sitting and typing out the risk of doing a hotel loan in Florida, they can use generative AI to tell them that, look, we have seasonal risk because of tourism, we have hurricane risk, et cetera. So those are things that are going to make employees a lot more efficient and frankly, help banks, even though the labor market is becoming a little bit more employer-friendly, it will help them attract the kind of employees that they need to continue evolving their bank because the smartest kid graduating university today does not want to go sit and thumb through a 300-page credit memo or credit policy. So those are the kind of things that we've seen relative to monetization. Banking adviser is something that will contribute to nCino's growth. And I would expect to see NIC use cases continue to be monetized on a stand-alone basis, as you've heard from us with portfolio analytics with pricing and profitability. But we'll also use these tools to inject intelligence in every aspect of the application, which is a validation of the continued investment that we have and the ongoing growth that we get from our customers.
Nick Altmann: Great. And then just a quick follow-up. You guys mentioned earlier, 60% of gross ACV bookings came from the installed base in 3Q. When you look at the Q4 pipeline, how does that kind of look in terms of net new versus existing just given it's a seasonally strong spending quarter for software, there's budget flush dynamics, et cetera?
Josh Glover: Yes. So we feel good about the pipe relative to our ability to deliver on the commitments that we've made for the fourth quarter. We're not also not being toned on the macro and realizing that the buying environment is tough. So we feel confident that we have ample coverage 60% in quarter from existing customers as we've seen when the market gets tough, our customers need us more, and we continue to focus on them. And that's one of the benefits of having such a fantastic customer base of happy customers that we partnered with for years. Composition has not changed relative to new deals or existing customers. As we said earlier, we're not seeing greenfield logos fall out of the pipe we're just seeing a more thoughtful time line for how they buy.
Operator: Our next question comes from the line of Alex Markgraff of KBCM. Your line is open.
Alex Markgraff: I actually wanted to expand on the prior question, maybe ask it a bit differently. Just thinking about that mix of, say, gross ACV bookings on a more normalized basis or in a more normalized environment when you consider the pent-up demand, particularly in enterprise and some of the product expansions that are helping you lead with noncommercial products. Just curious, I mean, 60% for the last couple of quarters from existing, what is the good range to think about for that mix from, say, existing versus new on the other side of this kind of more challenging macro environment just considering the changes around product and such in the last couple of years?
Pierre Naude: Historically -- you saw -- we run about 50-50 which is good because you cross-sell into your base, you build these or products, you add more value. You upgrade them, and that gives you a bit of pricing power as well because of continuous innovation. And then 50% to new logos where you've got lower penetration, you can start cross-selling to them again. So historically, we ran at 50-50. What we saw through COVID was when the market was destabilized. It went to a much higher percentage cross-selling to existing base customers. And what you see in this destabilized liquidity environment, it edges up to that 60%. We believe that in the future, it will come back to more of a 50-50 ratio.
Alex Markgraff: Great. And then I apologize if I missed this, but did you all provide the sales growth metric for the quarter as you did last quarter or not.
Gregory Orenstein: We did not. We provided the commentary around Q3 sales bookings being lower than Q2, but still confirming that we expect the second half of the year to be greater than the first half of the year from a gross bookings perspective. And just from an internal perspective, we did expect Q3 to be lower than Q2. So I'll note that just as we think about the year playing out..
Operator: Our next question comes from the line of Robert Trout of Macquarie Capital. Your line is open.
Robert Trout: And nice to have my first earnings call as a covering analyst with the team here. If I could just ask two questions. The first on the evolution of the pricing model. Greg, I know you mentioned, I think, in response to Terry's question that the early indications from that migration, you're generally seeing a quicker path to revenue. And then -- but what I'm wondering is, while the employment -- the financial service financial services employment market is, as you mentioned, a bit more employer-friendly right now. Going forward, how does the job growth and [indiscernible] in the financial services market, the state of that, how does the new pricing model benefit or not benefit from -- from changes in that relative to the old pricing model?
Pierre Naude: Yes. So let me explain -- I'll use a simple use case, for instance, consumer banking. And if I take you back to an example of airlines, five years ago, we all used to call the airline, make a reservation, get the ticket, if you're lucky, through e-mail, printed out in your printer and go to the airport and you've got a paper boarding pass and a ticket with you, okay? Today, that sounds laughable, and you basically go into your phone, you book the ticket, your boarding passes are in your telephone in the app and boom you go. And you trust the system, okay? Banking literally is that 15, 20 years behind. There's still a lot of stuff that has to happen in brands, come show you driver's license, submit some documentation, proof of employment, et cetera. We believe in the next five years that we can move that consumer use case to a total digital end-to-end experience that's highly customer-friendly and fully automated. If you take that use case to that extent, it means that the employment shift in banking will move away from personal interactions between the consumer and the banker and much more to a middle back office exercise with people in self-service mode. As we are going to drive that value into banking, we're going to provide a pricing model that is more solution and platform based. And therefore, the bank will understand that they're going to have a massive one year on the cost side from us because these banks are all growing and they can redeploy their people, okay? There will still be some back office or call center activities going on to help consumers, who doesn't get it done on their own, just like an airline do. So our pricing models will reflect that value we bring to the table, number one; and number two, that it is a platform that is truly enabling the consumer to go end-to-end. If you go from there to small business, it will be more of a 40% fully automated, 60% banker involved. If you go to commercial, it will be more highly automated processes, but 100% banker involvement, okay? And that's how we're going to look at that across. But yes, solution-based and platform-based pricing will become the norm in our industry.
Robert Trout: Okay. That's very helpful. And just on the consumer side. I just wanted to ask sort of a broader question about sales strategy. You had this wonderful win. Congratulations on that during the quarter. And I think you alluded to the amount of time and energy that gets spent landing, something like that. As consumer becomes and as international consumer also becomes a bigger portion of the pie, how do you think about perhaps changing your approach to your sales force, the way you train them the way you resource and the way you evaluate them. Both in terms of how they should -- who this prospect? What are the kind of the key metrics to evaluate them and how they're spending their time?
Josh Glover: Our focus as we continue to take the single platform in these institutions as we are covering these accounts with a core account executive who maintains that relationship. This is a C-suite sale to multiple stakeholders in the C-suite and they expect us to have that core who drives the relationship. And we support them with a robust set of experts across our various solutions who can help them tell that story to those differentiated stakeholders within the institution. For example, you heard us speak about a $35 billion bank. They were already using us for commercial lending and consumer lending. This last quarter they purchase our mortgage solution. They're going to deliver a single platform that's going to put them ahead of their competition. That relationship was driven by a core account executive. But while driving in the consumer opportunity in the past, while driving in the mortgage opportunity this quarter, they had a specialist to help them. That's the best thing for our customers. For my CFO, he does get some operating leverage with time because in this market, where in the U.S., for example, banks are going through a period of consolidation. When I launch a new solution, I don't have to linearly grow my sales force, but I can thoughtfully support them with the specialists that they need to drive those other solutions in. So does that answer your question?
Robert Trout: Yes, absolutely. Very helpful.
Pierre Naude: Yes, I can just add something to that, which is, remember, we sell to business owners. not necessarily to IT. IT is heavily involved. They assist us in integrations and project management, et cetera. But those business owners want to see business value. And what's put in seen or part since its inception, was the fact that we trained our salespeople to understand return on investment, understand how businesses will actually look at this investment they have to make and what value that will bring. If you look at that Japanese case we talked about earlier, that's a mortgage use case. which is very exciting because that's a consumer use case first in a place like Japan. So across the board, our people are trained and equipped to do an ROI model and actually win the business based on a solid business case and then with the help of IT get it installed.
Robert Trout: That's a great point.
Operator: Our next question comes from the line of Saket Kalia of Barclays. Your line is open.
Saket Kalia: Awesome. I'm sorry to lengthen the call here. But pricing has been mentioned a couple of times here on the call. And I think there was a question earlier just around pricing in the retail business. I guess I want to ask kind of a two-part question, right? So the first one is how much of the mortgage business is now being priced based on volume versus seats, right? And I guess the second question is just to loop in the great retail win, is there anything that you can disclose just on how the pricing structure works for that deal? Was there a decent volume component to it? Was it mostly seat-based? Anything you could talk about on pricing here for mortgage and for that retail deal.
Pierre Naude: Saket, as you know, that we never want to be a pure volume business. We said it from day one. That's why we like SimpleNexus. So we always include a platform component to that. Even when we had seed-based pricing, there is a component that is fixed. That's a minimum in the contract, and we like that -- we've always done that. In the soft mortgage market, we went in with lower platforms basis because that's how you penetrate the account, and they are skittish about making a massive commitment. But then on top of it, the pricing schedule is incentivizing them when volumes come back to update minimum commitment to get a lower unit cost on volume. So yes, we will see some volume upside when that market comes back. And then there's triggers built in, where if they then commit to us a higher, lower minimum, they will actually get a lower unit cost for that volume. And that is incentivizing good behavior for both parties because we get a bigger commitment, and they pay a lower unit cost price. So that's how we're going to edge it up to a much higher minimums again in the contracts when that market comes back. Does that make sense?
Saket Kalia: Yes, that does. That's super helpful. And anything on that retail deal that you would call out as well?
Gregory Orenstein: Yes, Saket, I'll note that, that consumer lending deal did include a platform pricing fee. So that's how we structured that consistent with -- again, with where we're evolving the business and as a follow-up to the comments that I made on Investor Day starting in consumer and moving away from that seats, particularly with the digital element to it, as Josh highlighted, you got the in-branch and digital, and that's where, again, it's very much a value sale and what we're able to do for the institution versus an employee or a seat-based sale. And so that worked nicely in I think as we talked about previously, we think from a sales cycle standpoint, our customers and prospects are comfortable signing business with that structure. So we think that's helpful in the sales cycle as well.
Operator: Thank you. I'm showing no further questions at this time. I'd like to turn the call back over to Pierre Naude for any closing remarks.
Pierre Naude: Thank you, operator, and thank you, everyone, for attending our call today, and thank you for your insightful questions. We are excited about the business. We've got a great pipeline with good coverage. We are considering all factors in the current market as we give you guidance for the future. And hopefully, you can see our confidence in our strategy as well as our customer relations and our customer set we get from our clients. So thank you very much until next time. Have a great day.
Operator: Thank you. Ladies and gentlemen, this does conclude today's conference. Thank you all for participating. You may now disconnect. Have a great day.